Operator: Good day, ladies and gentlemen. And welcome to the II-VI Incorporated Q4 and Year-End FY19 Earnings Conference Call. At this time, all participants are in a listen only mode. Later we will conduct the question-and-answer session and instructions will follow at that time [Operator Instructions]. As a reminder, this conference call is being recorded.I would now like to introduce your host for today's conference, Ms. Mary Jane Raymond, Chief Financial Officer. You may begin.
Mary Jane Raymond: Thank you, Skylar and good morning. I'm Mary Jane Raymond, the Chief Financial Officer here at II-VI Incorporated. Welcome to our fourth quarter and year-end earnings call for fiscal year 2019. With me today on the call is Dr. Chuck Mattera, our President and Chief Executive Officer and Dr. Giovanni Barbarossa, our Chief Technology Officer for fiscal year '19 and for fiscal year '20, our fiscal year, our new Chief Technology Strategy Officer as the President and our new segment to be called Compound Semiconductors segments. This call is being recorded on Tuesday, August 13, 2019.Just as a reminder, any forward looking statements we may make today during this teleconference are given in the context of today only. We do not undertake any obligation to update these statements to reflect events subsequent to today.With that, let me turn the call over to Dr. Chuck Mattera. Chuck?
Chuck Mattera: Thanks, Mary Jane. Good morning, everyone. And thanks for joining our call to review some of the highlights of our fiscal year '19 and the perspective view of our first quarter of fiscal year '20. Before we get into it, I want to thank the members of the investment community for engaging us so much since November 9th, and getting to understand our value propositions, core competencies, sources of sustainable competitive advantage and more about our company culture. I'd like to use a few minutes before I get into it to provide some context.Fran Kramer and I transitioned the President and CEO role three years ago. Since then, we have carried on in the II-VI tradition of building long term shareholder value, employee value and customer value one day at a time. It's been a remarkable three years as we embarked on our current transformative growth phase. Our fiscal year '19 was punctuated by growing markets underpinned by large and the irreversible mega trends that we believe will allow us to enable our growing list of customers to win in their markets.Up against this backdrop, we not only delivered solid results, we completed two acquisitions each in the optical communications and aerospace and defense businesses. We completed a strategic collaboration to manufacture again on silicon carbide devices. We received many distinguished service awards from key customers. And we continued our leadership development and succession planning to be sure that II-VI maintains the top talent pool to oversee the strengthening of our enterprise wide culture. And we continue to be a company to which people want to dedicate their time and talent.Our pending acquisition of Finisar has added a substantial engagement with the Finisar team around integration planning of another 30-plus year industry leader who's engaged employees at the core remarkably the same as those II-VI. They care deeply about the positive impact that they can still have on the big challenges that the world is confronting. As you listen this morning, it has become apparent that we are going to need more time to conclude the transaction. Good things take time. And I remain optimistic and enthusiastic about the combination, and to get the Company ready to substantially scale to its opportunities and aspirations, and enable us to strike a sense of urgency to hit the ground running on day one. We've organized II-VI on July 1st to get us into a more scalable structure. There are two operating segments and core functions that cut across the enterprise. These have the additional advantage as they're also ready to plug and play when Finisar arrives.Joining me this morning are Mary Jane Raymond, our Chief Financial Officer and Dr. Giovanni Barbarossa, the President of the Compound Semiconductor segment, and first II-VI Strategy Officer. Sunny Sun is the President of the Photonic Solutions segment. In the fullness of time, we will make these structural and executive leadership changes simple and clear for the investment community by way of subsequent communications. Among the changes, however, I want to acknowledge this morning Gary Kapusta , who serves as the Chief Operating Officer during the last few years. Like many others, Gary has a new leadership role in his case, the Chief Procurement Officer. We are lucky at II-VI to retain his talent as we grow.Now, let's turn to our report. Today, we will give you an overview of our quarterly and annual results and our Q1 FY20 outlook. Regarding the transaction, as I noted and as noted in our press release, we plan to re-file our application for SAMR to extend the time for a successful completion. Both II-VI and Finisar have extensive operations in China, some 12,000 employees in China between our two companies, and we serve a wide variety of customers in the China market.With the Phase III nearing conclusion, the SAMR process looks to me a little longer to complete. Both companies have a broad and deep footprint in China, and the SAMR process is very interactive with third parties and the companies. We now believe we will be able to conclude during the fall of 2019.Turning to the results and the outlook, it was another record year four II-VI. For the fiscal year, our revenues grew for $1.36 billion or 18% annual growth. Our GAAP EPS of $1.63 per share grew 21% with non-GAAP EPS of $2.54 a share, growing 25%. For the quarter, revenue was a record at $363 million and grew 13% and non-GAAP EPS is $0.67 per share grew 29% year-over-year.Leading the growth were our optical communications and our military end markets, now called Aerospace and Defense, beginning in FY20. Our revenue in these markets grew 35% and 63% respectively. We estimate customers accelerated between $10 million to $20 million of revenue of optical communications products in Q4 from Q1 to satisfy their strategic planning needs. In industrial, including automotive, following 40% growth in Q4 FY18 year-over-year, we experienced about 20% decline compared to last year's fourth quarter, and although it was about flat sequentially.For the full-year FY19, optical communications grew 36%, Aerospace and Defense grew 29%, semiconductor and capital equipment grew 12%, consumer grew 9% and the industrial market remained flat to the peak achieved in FY18 when the market grew 20% overall annually. Silicon carbide substrate sales represented 6% of our total revenue and grew 51% compared to FY18. Across our end markets, we had 26 customers that each bought over 10 million and accounted for about 50% of our overall sales.In optical communications, components for ROADM systems lead the growth for FY18 at 60% over -- oh, I beg your pardon, led the growth for FY19 at 60% over FY18; access, submarine and wireless, all grew between 10% to 15%; only datacom declined for the year overall at about 15%; although, we saw some nice growth of over 20% sequentially from Q3 to Q4.In aerospace and defense, our work on new program qualifications in FY17 and FY18 are showing results. Of the 29% growth for the year, 21% was organic 8% was from the acquisitions we completed during the year. We have begun to experience initial demand for our differentiated products in the high energy laser systems applications. In semiconductor capital equipment, we have significantly expanded our CVD diamond growth capacity to serve the 27% in EUV growth we have for FY19. This method of advanced photolithography is taking hold with customers as the broader number adopt multiple EUV systems due to increased investments in logic components.The seasonal 3D sensing ramp is well underway, and we expect record 3D sensing revenue for fiscal year '20. We have a number of new designs in development, and are excited for the expansion of functionality in calendar year 2020. With respect to our China business, as we noted earlier in the year, we examine the rules and requirements carefully and we served our Chinese customers to the fullest extent allowed under the current regulations.As we look toward the first quarter of FY20, our guidance includes the potential for some ongoing geopolitical tension. Though, our customers have continued to engage with us on long term supply planning -- supply chain planning. As is typical, we expect Q1 seasonality of about 10% revenue decline from Q4. We believe that fiscal year 2020 will be another exciting and transformative year for II-VI, and we look forward to updating investors on our progress.With that, I'd like to turn the call over to Giovanni to focus on some of the other highlights of the quarter. Giovanni?
Giovanni Barbarossa: Thank you, Chuck, and good morning. 2019 continues as the great year of growing demand for several of our engineered material platforms. Silicon carbide substrates, CVD diamond optical windows and semiconductor lasers were in a high demand, enabling a broad range of rapidly building applications, such as datacenter communications, 5G wireless, EUV developing, 3D sensing, electric vehicles and high energy laser systems.It's now been 20 years since we begun working on silicon carbide, leading to the introduction in 2018 of the world's first 200 millimeter substrates. This year, we began to ship this large substrates under a program funded by the European Union tasked with developing an ecosystem for silicon carbide based power devices, producing 200 millimeter wafers to serve buyers' markets, including electric vehicles. Revenue from silicon carbide substrates now constitute 6% of our total revenue and continues to grow rapidly.Last quarter, we entered the second phase of the development of our 6-inch gallium nitride on silicon carbide wafer fabrication capability in Warren, New Jersey to serve the high performance RF market. At the same time, we see that we're again expanding the manufacturing capacity of our semi-insulating silicon carbide substrate to meet the new internal and external demand. For all silicon carbide substrate production, we have doubled the capacity 3 times in the last five years.We have also begun to explore gallium nitride on diamond RF electronics for emerging applications, such as in satellite communications. As the demand for gallium nitride on diamond materializes, we will be able to leverage our diamond manufacturing capacity, which we prospected in scale to fulfill a five year agreement that we announced this year with a major customer in the supply chain for EUV lithography equipment.Our, CVD diamond technology platform demonstrate our preference for technology investments, which will enable differentiated products for a number of market growth opportunities that will emerge over time. In material processing, II-VI products enable manufacturers to make the lighter and the full more fuel efficient vehicles with advanced laser processing head that produce well with minimal [indiscernible] materials in vehicle chassis, closures and battery assemblies.We also expect the ultra high strength in light weight parts with increasingly being produced by laser additive manufacturing, a growing market for our product, used in industrial laser which in turn is driving the demand for scandium oxide for which we develop a patent pending recovery and process from waste streams. Despite weakness in the memory chip market, the pull to EUV lithographic systems continue, driven by next generation logic chip set, which rely on EUV, therefore, creating demand for this technology, which include significant content of II-VI products.In 3D sensing, we've been involved in production for two years on a vertically integrated 6-inch wafer manufacturing platform. We're at the early stages of a market that is growing rapidly, and we'll continue to do so over multiple years. The comparative of computing, communication and sensing will enable consumers to experience high-quality and real time augmented reality on smartphones, smart glasses and car windshields.In addition to the ramp of 3D sensing that Chuck mentioned, we recently signed a partnership agreement with a high volume optoelectronics packaging leader. This will leverage a new laser platform for lighter application that we will announce in the future. We have continued to invest in advanced LiDAR assistance systems in sub-prime vehicle market as they continue to evolve. And they've made progress in developing custom solutions in lasers, optics and integrated modules that relay on our scalable technology platforms.Our R&D spending in fiscal year '19 increased 19% compared to fiscal '18, from both organic and inorganic investments. About 32% of this growth came from our acquisitions, which added to our capabilities in [indiscernible] components and sub-system for high energy laser applications and local count Wavelength Selective Switches or WSS.Our acquisition of CoAdna last September, for example, was very timely. It occurred just before a surge in demand for local count WSS in ROADM networks, particularly in China. We have made significant investments in optical communication products, which provide connectivity to the global crowd infrastructures, including between continents through undersea links. This year saw first-ever deployment of multi-core fiber technology and undersea communication systems, which were enabled by our new 800 milliwatt undersea pump lasers. Other undersea deployments included our local count WSS, which was the first for II-VI.This year, we launched a new 400 milliwatt version of our flagship uncooled micropump lasers, still the smallest on the market to enable coherent transmission ranging from 100 gigabits per second to 1 terabits per second and beyond. We also expanded our wavelength management and monitoring subsystem for the platforms, leveraging our vertically integrated ROADM and monitoring component portfolio, such as optical channel monitors and optical time domain reflectometers.We are excited by the opportunities that our new intelligent subsystems for current class optical monitoring and line transmission will present to our expanding customer base, including hyperscale, datacenter operators particularly in China. Notwithstanding that data from us been soft this year, we remain very confident in the secular growth of datacenters, driven by the cloud and 5G. And we believe that 5G deployments will boost our entire communications business.In fact, to meet the demand, we opened in November 2018, an additional 300,000 square feet campus in Fuzhou, China, to expand our manufacturing capacity and also our new regional headquarters in Asia.With that, let me turn it over to Mary Jane.
Mary Jane Raymond: Thank you, and good morning. Our press release follows our usual format with the total company numbers for the fourth quarter and the full year on the second page and then the segment information follows on the third page.We have updated all the operating margins for the segments and the Company to adjust for all non-GAAP elements, not just acquisition related expenses. These are now all adjusted for stock comp and amortization also. We are reporting our quarter and full year in our fiscal year '19 three segments. The 10-K will be filed this way as well. We will produce a historical result table for the new two segments by mid-September.Revenue growth of 13% in the quarter was 8% on an organic basis. Revenue growth of 18% for the fiscal year '19 was 14% on an organic basis. Regionally, for FY19, North America was about 40% of the total, Europe was 20%, China was 22%, Japan was 9% and the rest of the world was 9%. All major regions grew in double digits. During fiscal year '19, China led the growth regionally at 30% over fiscal year '18, Japan grew 28%%, Europe grew 14% and North America grew 11%.The Company's overall gross margins for Q4 was 38.2% and 38.3% annually. The operating margin was 11.2% for the quarter on a GAAP basis and 10.9% for the year. Whereas the non-GAAP operating margin was 15.7% for the quarter and 15.4% for the year, advancing 80 basis points and 50 basis points respectively compared to their same periods last year. Regarding the segment adjusted operating margins for fiscal year '19; laser solutions was 12.4%, slightly higher than last year; photonics was 16.7%, 40 points lower than fiscal year '18; and performance products was15.5%, 150 points ahead of last year.The main non-GAAP adjustments in the quarter, our stock comp was $6.8 million, amortization of $4.6 million and cost associated with acquisitions and acquisition related planning of $4.8 million. Both stock comp and integration planning costs were lower in Q4 than we had forecasted. For the year, these costs were $25 million for stock comp, $15.6 million for amortization and $19.4 million for acquisition and acquisition related planning.Costs for the planning of the Finisar acquisition was a large portion of the acquisition cost. Our year-end backlog was $500 million, consisting of $221 million at Photonics, a $193 million in performance products and $86 million in laser solutions. The backlog contains orders with first ship days that we'll ship over the next 12 months.It's probably worth noting that in our specific arrangements for 3D sensors customers, bookings tend to be reported in the quarter of shipment. Our $6.8 million in share based compensation for Q4 and $25 million for fiscal year '19 compares to the fiscal year '18 total of $19.7 million and $16 million for fiscal year '17. The Company had other income for the full year of $2.6 million, primarily from equity earnings from our investments and interest income on our excess cash reserves. Capital expenditures this quarter were $29 million and $137 million for the year.Full year CapEx for laser solutions was $44 million, for Photonics was $45 million, for performance products at $40 million and the remainder was for corporate operations and infrastructure. By end market and growth products, $24 million was for silicon carbide, $24 million for pumps and other key communications components, $20 million for 3D sensing, $10 million for the CVD diamond and $9 million for precision ceramics. The remainder is across all other divisions for a combination of capacity expansion, maintenance capital and infrastructure update.With respect to amortization and interest expenses related to the convertible debt. The convert remains slightly anti-dilutive after considering the effect of equity compensation on the diluted share count. So the potential share count associated with the convert does not need to be added back to calculate EPS. The tax rate for the year was 16.5% for fiscal year '19. The reported EPS in the quarter was $0.43 a share and $0.67 a share on a non-GAAP basis compared to $0.42 GAAP in fiscal -- in Q4 fiscal year '18 and $0.52 on a non-GAAP basis. Our cash is $205 million and our net-net position is $252 million. During the year, our acquisitions and investments of $88 million were completed with cash. We repurchased $1.6 million of stock or 50,000 shares in the quarter. We had $29.3 million remaining on our authorization.Turning to the outlook. The outlook for the first quarter ending September 30, 2019 assuming no Finisar transaction is revenue of $320 million to $345 million and the EPS on a GAAP diluted earnings per share basis is $33 to $44. On an adjusted basis, the EPS range is estimated at $0.55 to $0.65, to which we have -- we add back $0.06 for onetime transactions, $0.07 for amortization costs and $0.09 for stock compensation. This is all at today's exchange rate. The weighted average share count is $65.7 million shares outstanding.For the comparison period, results for the first quarter ended September 30, 2018 were revenues of $314.4 million and GAAP diluted earnings per share of $0.40. Now, as we turn to the Q&A for the call, remember that our actual results may differ from these forecasts due to a variety of factors, including but not limited to, changes in product mix, customer orders, competition, changes in trade and tariff regulations and general economic conditions. I'll also remind you that our answers to your questions today may contain certain forward-looking statements, which are based on our best knowledge today and for which, actual results may differ materially.Skyler, you can go ahead and open the line for questions.
Operator: [Operator instructions] Our first question comes from the Samik Chatterjee with JP Morgan. Your line is now open.
Samik Chatterjee: Can we just start with a quick temperature check on the two key end markers that you referenced the industrial and the fiber optics or wireless communication, as you refer to it? I mean you mentioned the strength that you are seeing in optical communication, as well as aerospace and defense. I'm just wondering given some of the weaker industrial metrics we're seeing, where are you seeing maybe pockets of weakness in those two?
Mary Jane Raymond: So as we said, I think your question is to then illustrate industrial. So as we said, industrial was relatively flat for the year. If you remember last year, during fiscal year '18, industrial saw some really serious unprecedented growth. I mean, it is not typical for the industrial market to grow 20% for the year -- and we basically -- the market sort of coming out of that peak. Generally, I would say that as you have heard perhaps from others, there's a little bit less demand for new machines in some geographies around the world. We are still seeing reasonably good laser usage, which in our case is typically the driver of the aftermarket sales. But I would say that probably if you think about a growth we saw in 2018, we have the world pretty much adjusting the use of those systems. Giovanni?
Giovanni Barbarossa: Yes…
Samik Chatterjee: Can you maybe give me some color, similarly on the wireless communication side? And we're seeing the strength led by the infrastructure investments. Are you seeing any slowdown given the sanctions on Huawei? Are you seeing any slowdown on that side of things?
Mary Jane Raymond: So with respect to just other communications, in general, when we talk about -- or communications in general, first of all, it has been a very, very good year. And as we had noted back when first restrictions on Huawei came out, the restrictions were a ruling, they want it banned and we were very, very careful in looking at what we were able to do. We would have said that we are seeing with that sort of growth, that we are really in the beginning of the 5G build out. That looks to us to remain well on its way, whether that in the future, in the next few quarters, starts to move downward for other geopolitical tensions, as what Chuck mentioned. But generally speaking, it's been a very-very good year in communications, in general. Go ahead.
Giovanni Barbarossa: Samik, this is Giovanni here. Whether it's 4G or 5G, the drive for our technologies, which play into those markets. I want to remind you, we have semi-insulated silicon carbide substrate that are used for amplifying, we're doing base stations. We obviously have all of the optical communication infrastructure that feeds into the 5G and 4G wireless infrastructure and so forth. So if you look at the entire demand for our product that fit into the 4G and 5G, business been very, very strong.
Samik Chatterjee: Can I just have a quick follow up on the gross margin? I see on the slide deck you have a forecast or improvement in gross margins in fiscal '20, roughly to the 40% level. How much of that should we think about being an improvement driven by utilization of 3D sensing? And if there -- are there any other drivers that we think are driving that improvement?
Chuck Mattera: Samik, this is Chuck. Thanks for joining us, Samik. I would say you hit it. 3D sensing, the utilization of our fab and our 3D sensing infrastructure will be a major contributor to the margin improvement.
Mary Jane Raymond: I would also like to on the -- for the benefit of those on the call. From a gross margin point of view, one of the things we noted was the very, very nice growth we're seeing in aerospace and defense. Some of that, particularly from newer systems, particularly high energy laser systems, some of those arrangements are costs plus that does have the benefit -- the effect of a little bit of downward pressure on the margin, because they're costs plus versus fixed price. But generally speaking, Chuck's answer still stands, which is that the largest driver of the gross margin is 3D sensing. Go ahead please.
Operator: Our next question comes from Meta Marshall with Morgan Stanley. Your line is now open.
Meta Marshall: First question, just any change in the make-up of the order that you're receiving from China customers. I think we'd heard from other market participants perhaps move to lower speeds, or seen perhaps slowdown in orders not been able to get the full package, anything that you were able to note kind of along what the make-up of the orders were. And then second question just given the departure of the Finisar CEO. Like was that expected? Or kind of any changes to your kind of plans with Finisar post acquisition given management changes? Thanks.
Chuck Mattera: Let me say in the first one. We were steady as we go in terms of the mix, the demand and the supply chain managers that we interact with in China. So we were worried that we might see a little bit of an interruption based on other people's reports of having suspended their sales. But our sales crews were long through the fourth quarter. I think what we're expecting is that we might see a shift to new products beginning in FY20 for various reasons. So we're stepping up our investments to be able to assure that we have new product platforms to offer the customers as well. And then as far as Michael Hurlston's departure, I would say that we have been able to -- thanks to the Finisar board and the executive team, and Michael himself, they've all been extremely supportive of our engagement for the planning that we need to do. And I would say that things on that front are going exceedingly well.
Operator: Our next question comes from Jim Ricchiuti with Needham and Company. Your line is now open.
Jim Ricchiuti: Quick question on -- Chuck, I think he alluded to some acceleration from Q1 of $10 million to $20 million in the -- I believe it was the optical communications area. I wonder if you could just expand on that a little bit?
Chuck Mattera: Well, we have a portfolio of products we can monitor with our interactions with the supply chain, people and our customers. We have a good sense for how much they want from us, including for a few quarters out. Our sense is that we were asked to sprint the marathon for the last three or four weeks in June. And some of that -- because we could and because we had timely expanded our capacity, we were able to serve them. And we think that there was a little bit more that we were asked to do in the fourth quarter and -- than what we were expecting. And we think that that probably came from simply a rebalancing on their side of demand from our Q1 to our Q4. And our judgment is just about $10 million to $20 million, that's the best I can say.
Jim Ricchiuti: And then just turning to the industrial business, there's been obviously a lot of focus about demand and pricing in a laser market in China. And I'm wondering, are you seeing any changes in the pricing environment for the components that you supply customers in China in the industrial laser business?
Giovanni Barbarossa: Jim, this is Giovanni here. Nothing [indiscernible] is a very common trend in price declines and general pressure from the market on being remaining competitive. But I wanted to mention industrial that it's -- I would say that China and Europe, definitely weaker, and North America is actually strong. So when we say the general industrial market, I would say as a whole as we said it was peak and we will see it flat. But it's a combination of all geographies together, because there's definitely a price and activity in North America with very stronger economy.
Operator: [Operator Instructions] Our next question comes from Mark Miller with The Benchmark Company. Your line is now open.
Mark Miller: Just wondering if you could break out the ROADM sales percent of total sales, what was the year-over-year growth? And maybe give us a little more color on the impact of Huawei in the fourth quarter, and what you expect this quarter?
Mary Jane Raymond: So I think as Chuck indicated, the sales -- or the growth in communications was largely dominated by the growth in the ROADM component. So with respect to overall growth -- I mean I think they grew probably in excess of 50% for the Europe, as Chuck said. And also in terms of their proportion of the asset total, they are probably in the neighborhood of about 55% to 60% of general communications, which is about where they've been for a while.
Chuck Mattera: Good morning, Mark. What was the second part of your question please?
Mark Miller: A little more color on Huawei, and what you're expecting this quarter and what happened last quarter?
Chuck Mattera: Well, let's see, we -- what we've said is that we were in the Huawei supply chains, but we have not been able to say more than that. They have been an important customer for us inside that supply chain. That was a driver in the fourth quarter. And I do expect it to slow down just a bit here as we enter into Q1 and that may be part of the story of this rebalancing or acceleration that I referred to earlier, that's the best I can do to give you some color.
Operator: Our next question comes from Sidney Ho with Deutsche Bank. Your line is now open.
Sidney Ho: With regards to your silicon carbide wafer business, I assume you also did not see any impact from the Huawei issue. But have you seen an acceleration of orders from your customers that would indicate share gains for them versus their competitors? And if so how do you plan on satisfying that demand?
Chuck Mattera: Good morning, Sidney. This is Chuck. Let me try that. We believe, as we look out into the semi-insulating silicon carbide market, underpinning not just one and not just two, but probably three or four major adapters again on silicon carbide technology. We have been extremely busy expanding and shifting some of our capability to serve this semi-insulating silicon carbide market. Our view is that across the board the acceleration of the adoption of 5G infrastructure in addition to the normal pace of build out for 4G but in particular 5G is stimulating an awful lot of design and work around this technology by quite a few large incumbents. Does that help you?
Sidney Ho: And in follow-up to that, if you look at a, let's say, a over the next three to five years, what kind of cost improvements for silicon carbide wafers you to expect on an annual basis? And the reason I asked that is because it does seem like there are more competitors entering the market. Just for example the last week, we had a Taiwanese company coming in, so maybe broadly, how do you view the competitive landscape there?
Mary Jane Raymond: I think first of all, as we will look out on the silicon carbide markets and we look at the demand we have from our customers, a lot of which is associated with long-term agreements, if not all of it, we look at what our plans are for capacity expansion, which Chuck was talked about in the past, comes in a number of ways, not just the addition of machines. We would expect, first of all, to be able to maintain the margins over that period as the market matures. While that probably has some interaction between the cost and the pricing of that, I get the first thing that's important to understand is that the innovation on how you makes silicon carbides come along with the markets increasing demand. And that's important otherwise the world would not have enough capacity. But let me hand it over to Giovanni to pick up from there.
Giovanni Barbarossa: Yes, we obviously had to remain competitive across the board, from a cost perspective and the quality and, capacity and so forth that. I want to just stay very important fact, that the ultimately, the quality of the substrate dictates the quality and for the yield of the final product. And the process of qualifying the substrate, it's time consuming, it's very long. And most of the customers, particularly the largest customers, we have, don't want, we believe they don't want to start what could end up being a real expensive cost reductions.So in other words, there could be a competitive cost wise at faster levels, which end up being not possible as we finished device level. And the fall, the substrate is probably not where the pressure is on costs, but it's actually more on the processing, infrastructure and so forth. So the process is going to be pressure to be cost competitive. By the time it took us, for example, with our most important customer to be designing with our substrate, it was a co-development minded it took up several years, and it will take even more years to be replaced by someone else.It was a very sticky process and as the market is ramping, cost is always important, but it's probably not the most important criterion to select alternative suppliers. So, we think that the, the process we went through with our customers basically demonstrated the quality, particularly our semi-insulating substrates. And we think that that explains why we believe we have the largest share of the RF market at this point with the silicon carbon substrates.
Sidney Ho: Maybe just switching gears to EUV step, can you talk about the lead times of your product that is as your product shifting today, are they related product shift by your customers a quarter out, three quarters maybe in longer? And have your dollar content changed overtime as the tools become more mature? Thanks.
Chuck Mattera: Sidney, it's a great question. We believe that our lead times are probably among the shortest in the chain. When you look at the entire supply chain for the many products that we make in multiple subsystems of the tools itself, our understanding from publically available or disclosed communications by the end customer is that the cycle time for building these tools is really, really quite a long time as long as two years or at least one to two years including the burning times.So, we have been ramping and we have said that we believe that roughly 1% to 2% of the price of the tools is our share, both for initial components and then consumable components. We believe that has not change. We think time will tell us for example whether or not we have either an increase or the increase in consumable content. But based on what we know 1% to 2%, and I don’t think that we have because we talk to both our intermediate customers and the end user. And I think that we really don’t have an idea is to how long it takes for what we make to end up actually in somebody way for that but my guess is probably inside that one to two year time period.
Operator: Our next question comes from Dave Kang with B. Riley FBR. Your line is now open.
Dave Kang: My first question is regarding your fiscal first quarter outlook, regarding the sequential decline of approximately $25 million to $30 million. Besides Huawei that you talked about, is there anything else that’s driving sequential decline?
Mary Jane Raymond: Well, I think first of all what we said about our outlook was more than we were expecting that we may have some kind of effects of ongoing kind of geopolitical tension. I don't believe we said Huawei specifically about anything at all, but I think generally speaking and for us industrial as a general matter typically has a decline of that roughly 10% or more for industrial proper because a lot of same dynamic that actually drives, which is that typically machines going to summer shut down. So that’s one thing.It also from a military point of view, you start seeing that in fiscal year, we have quite a bit of an increase in our aerospace defense business and that may shift that seasonality a little bit, but those are really the main factors. And I think even in years where we have been questions when the optical cycle -- optical communication cycle has been growing about, no-no, we should really see seasonality in Q1. We did have seasonality in Q1. The year is still good. So, I think that’s really all there is to it. It's just the typical seasonality that we're expecting. But I think we have the….
Dave Kang: So just to be clear because when Chuck was talking about like 10 million to 20 million acceleration in fiscal fourth quarter, I thought maybe that may now repeat. So that Huawei might be slowing down, I thought that's what you said but maybe not?
Chuck Mattera: No, what I said was that, if we believe that inside this very strong fourth quarter that supply chain managers accelerated their request for us to ship. Based on our extraordinary ability to scale in the fourth quarter and to satisfy their needs, they asked us to ship what we believe is roughly $10 million to $20 million that we think would have come ordinarily either from the schedule first quarter or posting the schedule first quarter, maybe it's time to start before.
Dave Kang: And my second question is regarding 5G base stations. I believe Huawei was looking into gallium and silicon carbide and also gallium and silicon. Have they decided which route they're going to go with?
Chuck Mattera: Dave, we believe that the 5G infrastructure, the largest build outs of 5G infrastructure around the world, because our belief we will contain, will have the largest content of electronic based on gallium and silicon carbide. Sorry, not just one provider or not just one, one service provider, that's our belief.
Dave Kang: And my last question is any tariff impact either to U.S. or to China?
Chuck Mattera: Yes, give Mary Jane a second here, just to drink some water. Okay, Mary Jane, would you want to…
Mary Jane Raymond: Any tariff impact sure, and what we've commented was the tariff on the year or the quarters, but not particularly material, that is the answer. It wasn't particularly material. But I would not like to leave you with the sense of, there was zero. It would take us though as well. One, two, three, four things that are immaterial can still be collectively immaterial, if they keep going. However, where there is you know seven, eight, nine immaterial things that could start to add up. But right now, the impact of tariff is relatively immaterial, if we take them collectively as they apply to II-VI whether it has been China or the U.S.
Operator: Our next question comes from Paul Silverstein with Cowen. Your line is open.
Paul Silverstein: Some clarifications before broader question, first of all, Mary Jane responds to the previous question. Your answer, I think, was largely backward looking the short question would be now the tariffs are going up to 25%. Does that change the equation going forward? I chose the answer is still not meaningfully, individually or the collectively did have an impact and it got sort of clarification with the broader question?
Mary Jane Raymond: Yes, that's right. When we put the first comment out that we thought tariffs will be relatively immature, we included what would happen if the tariffs moves to the 25.
Paul Silverstein: Okay, moving on. Your photonics book-to-bill and your performance products book-to-bill like trust from the previous commentary that you are not concerned by we should not be concerned with the fact that the book-to-bill ease off about quite a bit. Is that the pull-forward of the revenue that Chuck alluded to you had mentioned? Is that normal seasonality? What's going on there?
Mary Jane Raymond: Yes, I would say the basically, there's three things that are affecting the book-to-bill across the segment. One was, right, on one hand, the revenue itself was high. So that changes the math of the equation of the book-to-bill ratio itself. The fact that they were higher booking particularly strong performance products in Q2 and Q3, we've always said bookings are little bit lumpy, but bookings were huge in especially the performance products in Q2 and Q3. And that as Chuck said, roughly $10 million to $20 million of revenue that would have normally been in Q1, let say. Would have been in Q4 the booking, but in fact would be what we would have told the bookings shift, they came in and we shifted.
Paul Silverstein: Alright, so let me ask more broader question. If you look beyond 90 day periods and we look out through the full fiscal 20 beyond, what are the greatest upside opportunities? And I recognize you all have a lot of irons in fire, you always have and it seemed to be growing. But what are the greatest opportunities? And what are the greatest downside risks?
Mary Jane Raymond: Well, I think we're all -- help me here. I think generally speaking, I mean, one of the things that's really scouting is that the growth market that we've targeted in silicon carbide, EUV 3D sensing are really starting to move. And we continue to see, again not only growth for example in silicon carbide in power, but we're also seeing on the semi insulating side for RF. So, those really take the route or varied route having for optical communications obviously moving into the beginning of 5G, its super exciting given the potential for that to be a trend front.In industrial as well, I mean, Giovanni gave a lot of really fantastic color on many of the innovations in advanced machining that are dependent on laser power, not withstand and there is fiscal year 19 was a little bit of a flatter year. All of these things drive for countries around the world, not just individual companies, right, the ability to advance the knowledge economy, advance industry 4.0, et cetera. So, net-net, it ends up making us pretty excited about a lot of sense.Having said that, anything that disrupts trade is disruptive, and you can't get to the point where people are uncertain and therefore just paused and how they are buying things are planning. So, consequently, we do worry about the ongoing political tension and certainly look forward to them being resolved satisfactorily. And I think generally speaking, there is any number of things that can happen. We just talk about new competition, geopolitical, economic et cetera, but I would say we're fairly excited about all of them. Let me see what Giovanni would like to add.
Giovanni Barbarossa: Yes. I'm concerned about relations those well notwithstanding, we're still very excited about, generally speaking the optical communications, the upside potential there across the board. The 5G, silicon carbide, electric vehicles, high-energy lasers where we have been gaining shares there, but there also the 3D sensing. I just want to remind everybody just a couple of years ago, we had zero trade.So, obviously someone has been losing share out there and we've been growing it. And we continue to grow our share in the 3D sensing market. And as we said during this script, we anticipate that for the fiscal 20, our 3D sensing revenue will be higher than the fiscal 19. So, we will keep growing and we will adapt to, which I just said, the other technology platforms, which we believe will be boosted by, what we call, irreversible mega trends which we don't believe was rolled down in the next two years.
Chuck Mattera: Hey, Paul, good morning, this is Chuck. I'd like to -- in particular, I'd like to come to the optical communications base make three points. Number one, we continue to see in '20, as we did in '19 and then '18, a really strong up cycle line under the communication network deployments. And we believe that we're extremely well positioned with our portfolio. We believe that will see growth in '20 over even over '19, which was a strong year to begin with. We're sold out as it relates the 5G. Our number of our lines including with internal filter lines, which are going to be needed in very large volumes, we are sold out. And we're looking now to be able to expand our capacity quickly to satisfy them.And then finally, you're looking beyond '20, we're going to use this time period where other people may seem more uncertainty. And we're going to position our portfolio and Giovanni alluded to it earlier, you'll see us spending more time developing more software and better products to be able to satisfy the evolving needs of our customers including, for [OCDUR] subsystems, for ROADM subsystems and for all optical cross-connect systems. So, this is a great, great and exciting moment for us, Paul.
Operator: Our next question comes from Richard Shannon with Craig-Hallum. Your line is now open.
Richard Shannon: Maybe I'll add to the topic of silicon carbide here. I think if I cut your numbers right from prepared remarks, silicon carbide grew roughly 50% last year. When you can give us a sense of what your expectations are for growth there or maybe couch it in terms of what your capacity will enable? And also if you can talk about the current position or mix of silicon carbide that's 6-inch and where they could go next year?
Mary Jane Raymond: So, with respect to [indiscernible], I think first of all, we would expect to continue to see silicon carbide continuing to grow, whether it's exactly a 50. I'm not sure I can say, but we certainly expected to be amongst the elevated growth rates. We say, north of 30-ish, keep going. I'm not saying at 30, I'm just saying that, if we expect it to be among the accelerated growers. And if you think about Giovanni's remarks that, we have doubled the capacity, three times in five years.We don't tend as a company to put out press releases when we do capacity expansions. We just sort of get along with doing it, but also capacity expansions happens in a lot of different ways, not just the addition of the machines. So consequently, I would expect us for a good long time here to be having a significant part of the CapEx dedicated to silicon carbide. As we've said before, we now see demand in RF and power particularly for electronic vehicles, but our view as a company, I think as you know is that. We do not expect the demand for power use of silicon carbide to be just limited to electric vehicles over the course of time. Go ahead, Chuck.
Chuck Mattera: Richard, I would just add -- add that, we think that yielded throughput, large increases in yield and throughput need to accelerate. As we look out, this is such a big market place that we're underpinning. As we look out over the next 3 to 5 or even 5 to 10 years, the marketplace is awfully inadequate with supply capability of high-quality silicon carbide substrates as the electric vehicle market penetrates deeper and deeper into the traditional internal combustion engine market. The world is going to need a lot more capacity than what it has and we're intending to add more capacity to keep pace with our objectives, which is that this business will do one of the growth engines for II-VI for a long time to come.
Richard Shannon: Okay great, second question on CapEx. Can you give us a sense of what you are thinking for fiscal 20? Is there any number or can it relative what you just spend for 19?
Mary Jane Raymond: Well, I think first of all generally speaking, it probably in the neighborhood or less that we have this year. We obviously had some two or three years of very elevated CapEx, and I will just remind everyone that back in 2012 when our revenue was about $550 million, our CapEx was $50 million. So, CapEx for our company tends to run about 10% of the revenue even now I know people look at our number now for us more than 100 million and think that’s still kind of elevated. I think you want to think about that as speaking about 10% of the revenue. So, I suspect that it may be at this level and some barge around plus or minus $10 million probably.
Mary Jane Raymond: I think at this point, I know we have a lot of other calls of other companies scheduled today. We are at 10 o clock. I think we probably should move to close. We really want to thank all of you who are with us today and thank you for all of your questions.We look forward to updating you on the results of our first quarter call, first quarter of fiscal year 20, in the early part of November. Thank you so much for joining and we will talk to you soon. Bye, bye
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone have a great day.